Executives: Jeff Norris - Managing Vice President of Investor Relations Richard D. Fairbank - Founder, Executive Chairman, Chief Executive Officer and President Gary L. Perlin - Chief Financial Officer
Analysts: Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division Christoph M. Kotowski - Oppenheimer & Co. Inc., Research Division Ryan M. Nash - Goldman Sachs Group Inc., Research Division Donald Fandetti - Citigroup Inc, Research Division Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division Scott Valentin - FBR Capital Markets & Co., Research Division Kenneth Bruce - BofA Merrill Lynch, Research Division David S. Hochstim - Buckingham Research Group, Inc. John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division Craig J. Maurer - Credit Agricole Securities (USA) Inc., Research Division Betsy Graseck - Morgan Stanley, Research Division Brian Foran - Nomura Securities Co. Ltd., Research Division Robert P. Napoli - William Blair & Company L.L.C., Research Division Michael P. Taiano - Sandler O'Neill + Partners, L.P., Research Division
Operator: Welcome to the Capital One Third Quarter 2011 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Jeff Norris, Senior Vice President, Global Finance. Sir, you may begin.
Jeff Norris: Thanks very much, Rica, and welcome, everyone, to capital one's Third Quarter 2011 Earnings Conference Call. As usual, we are webcasting live over the Internet. To access the call on the Internet, please log on to Capital One's website at capitalone.com and follow the links from there. In addition to the press release and the financials, we have included a presentation summarizing our third quarter 2011 results. With me today are Mr. Richard Fairbank, Capital One's Chairman and Chief Executive Officer; and Mr. Gary Perlin, Capital One's Chief Financial Officer. Rich and Gary will walk you through this presentation. To access a copy of the presentation and the press release, please go to Capital One's website, click on Investors, then click on Quarterly Earnings Release.  Please note that this presentation may contain forward-looking statements, such as information regarding Capital One's financial performance. Any forward-looking statements contained in today's discussion and the materials speak only as of the particular date or dates indicated in the materials. Capital One does not undertake any obligation to update or revise any of this information, whether as a result of new information, future events or otherwise. Numerous factors could cause our actual results to differ materially from those described in forward-looking statements. And for more information on these factors, please see the section titled Forward-Looking Statements in the earnings release presentation and the Risk Factors set forth in our filings with the SEC, which are accessible at Capital One's website. And with that, I'll turn the call over to Mr. Perlin. Gary?
Gary L. Perlin: Thanks, Jeff, and good afternoon to everyone listening to the call. Let me provide a few highlights from the quarter in Slide 3. Capital One delivered earnings per share of $1.77 or $813 million in the third quarter compared to $1.97 or $911 million in the second quarter of 2011. The linked quarter decrease in earnings was caused by an increase in provision expense, which was only partially offset by higher pre-provision earnings. Loan balances grew in the quarter by almost $1 billion to $130 billion, driven by growth in our Auto Finance and Commercial businesses. While our revolving Domestic Card balances also grew, the reported Domestic Card segment posted moderately lower balances due to continued run off in our Installment Loan portfolio.  Net interest margin remained strong in the quarter. It expanded 19 basis points to 7.39%. The combination of loan growth and margin expansion drove higher revenue in the quarter. Since non-interest expenses were only up modestly, pre-provision earnings were also up in the quarter.  As overall credit trends are stabilizing after almost 2 years of rapidly declining charge-offs, our quarterly credit metrics are increasingly driven by seasonal patterns. Charge-offs continued to fall in the quarter, but a significantly lower allowance release associated with stabilizing credit trends caused our provision expense to rise. The charge-off rate improved 39 basis points to 2.52%, while our coverage ratio of allowance to loans came down only 19 basis points to 3.29%. Finally, our capital generation capacity remained strong. Our Tier 1 common ratio was up over 60 basis points in the second quarter and now stands at 10%. Turning to Slide 4, I'll briefly discuss net interest margin. Net interest margin grew as our average asset yield rose, while our cost of funds declined. Loan yield was driven up by a variety of items, including an $85 million release from our finance charge in fee reserve, which I will discuss in a moment. The positive impact of loan yields on the margin was partially offset by the increased investments in cash equivalents, representing proceeds from the completion of acquisition-related bond financing and security sales. The cost of funds declined modestly in the quarter as deposit rates fell and the proportion of wholesale funding was reduced. Turning to Slide 5, let's take a closer look at the income statement. Capital One earnings in the third quarter were driven by loan growth and expanding margins, offset by higher provision in non-interest expenses. Total revenue increased 4% on a linked-quarter basis. About half of the revenue growth resulted from a decline in the level of revenue suppression in our Card business. This lower level of suppression was driven by an improvement in the estimated collectibility of billed finance charges and fees on existing card balances. The improvement in the estimated collectibility was in turn driven by a change in the way we calculate expected recoveries of non-principal balances to reflect our revolving experience in a period of highly elevated inventories, of charged-off debt in relation to the more recent level of finance charges and fee balances.  The finance charge and fee reserve has now reached its historical low, and we expect it to remain reasonably stable for the receivable future. We would expect overall revenue suppression levels going forward to be more or less in line where they've been in the last several quarters prior to this one, but without the benefit of further reserve releases such as the one we had in the third quarter. We experienced growth in both net and non-interest income. Net interest income grew as margins expanded and balances grew. Non-interest income increased slightly in the quarter, driven by the absence of the contract revenue impact from the U.K. payment protection settlement that we recognized in the second quarter. In addition, there were 2 significant but largely offsetting items related to our balance sheet repositioning ahead of the pending acquisition of ING Direct. We recognized approximately $240 million of gains from the sale of $6.4 billion of mostly agency mortgage-backed securities. These sales, which benefited from lower rates are intended to manage our balance sheet risk in advance of acquiring a substantial quantity of mortgage asset from ING Direct.  You will also recall that in early August, we entered into a pay-fixed swap position. It's a partial hedge against the impact of changing interest rates on the value of the net assets we will record upon the close of the pending acquisition of ING Direct. At the end of the quarter, we recorded a $266 million mark-to-market loss on the swap. Dept position will continue to be marked until it is closed.  As we stand today, the impact of rate movements on the value of the acquired net assets at closing, net of the swap impact, should benefit capital compared to our estimates at the time of the ING Direct deal was announced in June. Much of this movement occurred by the time we announced the HSBC U.S. Card business acquisition in August. So we have no reason at this time to change the estimated incremental capital for that acquisition of $1.25 billion. Non-interest expense increased slightly in the quarter due to higher staffing costs, as well as accruals against an earnout agreement related to a previous acquisition. Looking ahead, we would expect operating expenses in the fourth quarter to be similar to Q3 levels, as run rate and year-end expenses are likely to make up for the assumed absence of the unique items in the third quarter.  Marketing expense in the third quarter declined modestly, mostly driven by the timing of several large marketing programs who's expenses were recognized in the second quarter. In line with usual historical patterns, marketing expenses should rise in the fourth quarter. The higher loss in discontinued operations is largely attributable to a Rep and Warranty expense in the quarter of $72 million, compared to $37 million in the second quarter of this year. This increase is partially the result of claims paid in the quarter and a $23 million increase to the Rep and Warranty reserve, which now stands at $892 million, representing what we believe to be probable and estimable losses.  As a result of some generally increased activity by investors in the non-GSE and non-insured securitization categories, we would further estimate that the upper end of a reasonably possible range of future losses from Rep and Warranty claims beyond current accrual levels has risen from $1.1 billion to $1.5 billion. Now turning to Slide 6, let's take a quick look at our capital position. Strong business performance, as well as the continued decline of disallowed DTA drove our Tier 1 common ratio up 60 basis points in the quarter to 10% using Basel I definitions. Using known Basel III definitions, our Tier 1 common ratio would be approximately 10 basis points higher than that. We continue to be comfortable with our strong capital levels and our underlying trajectory.  With that, I'll turn the call over to Rich. Rich?
Richard D. Fairbank: Okay. Thank you, Gary, and welcome to everyone this afternoon. I'll begin on Slide 7, with a look at loan volumes. As Gary mentioned, ending loan balances grew by just under $1 billion in the quarter, despite continuing runoff of Home Loans in our Consumer Banking segment and Installment Loans in our Domestic Card segment.  Domestic Card loan balances declined modestly in the quarter, but excluding the installment loan runoff, revolving Credit Card loans grew by just under $300 million in the quarter, up about 0.5% sequentially and up about 4.5% compared with the third quarter of 2010. We expect seasonal growth in Domestic Card loan balances in the fourth quarter.  Beyond loan growth, there are continuing signs of traction in our Domestic Card business. New account originations continue to grow, and new accounts booked in the third quarter of 2011 were more than double the new accounts booked in the third quarter a year ago. Growth in purchase volume continues to outpace the industry. Our purchase volume grew 17% from the third quarter of 2010, excluding the impact of the Kohl's portfolio. In Consumer Banking, loan balances were up modestly, as strong growth in auto loans was partially offset by expected runoff of the Mortgage portfolio. Auto Finance originations were $3.4 billion, up 17% from the second quarter and 40% from the third quarter of 2010. We expect that Auto originations will remain strong and drive continuing growth in auto loans.  Our Commercial Banking business delivered another quarter of steady loan growth. Ending loans were up 3% from the prior quarter and up 9% from the third quarter of 2010. Growth in loan commitments, an early indicator of future loan growth, was even stronger. Our C&I and CRE businesses experienced the strongest growth in both loans and loan commitments. Loan demand is expanding beyond refinancing to include demand for new credits to finance growth for our commercial customers. Looking at the whole company, we believe the period of shrinking loans through the Great Recession has come to an end, and we've returned to modest growth. We expect modest year-over-year growth in ending loan balances in 2011. Given the lower starting point for loan balances, we expect that average loans for 2011 will be comparable to average loans for 2010, even as period and balances grow.  Much of the growth we're delivering today is focused on franchise building customer relationships and accounts. These include rewards customers and new partnerships in our Domestic Card business, Commercial Banking customers and deposit customers and auto dealer relationships in our Consumer Banking business. While loan balances and revenues from these customers ramp up gradually over time, we expect the growth of these franchise building customer relationship to drive strong and sustained bottom line earnings in capital generation through sustainably lower charge-off levels, low attrition and long annuity-like revenue streams that build gradually but stick around for years. Slide 8 shows that credit results across our consumer businesses are stabilizing at relatively strong levels and exhibiting expected seasonal patterns. Domestic Card charge-off rate improved in the quarter. About half of the improvement resulted from expected seasonal patterns, with the remaining improvement driven by strong underlying credit performance. We continue to see declining loss severity, strong credit performance in our newer vintages and portfolio seasoning, as older vintages mature. The delinquency rate as of September 30 increased from the prior quarter. The increase resulted from expected seasonal patterns and a change in the way we estimate recoveries related to our finance charge and fee reserve that Gary discussed a few moments ago. We expect that Domestic Card credit metrics will continue to follow normal seasonal matter patterns in the fourth quarter. In our Consumer Banking business, charge-off rate improved in the Home Loans portfolio, while the delinquency rate increased modestly. In the fourth quarter we're planning to move a portion of our mortgage loans from third-party servicers on to our own servicing platform. This move may create some noise in the fourth quarter credit metrics but shouldn't impact the underlying trends.  In the Auto Finance business, charge-off rate and delinquency rate increased in the quarter, consistent with expected seasonal patterns. As you can see in the year-over-year improvements in both charge-offs and delinquencies, Auto Finance credit performance remain strong, with the most recent originations continuing to perform better than originations from 2007 and 2008. In fact, Auto Finance credit metrics are near their all-time lows, driven by the actions we took to retrench and reposition the business, tight underwriting and loss mitigation actions through the recession and continued strength in used car auction prices. We believe we've reached the cyclical low point for Auto Finance charge-offs.  Credit improvements in our Card and Auto Finance businesses have outpaced the modest and fragile economic recovery. Recent economic headlines have been full of bad news with 0 job growth in August, the debt ceiling crisis and downgrade of the U.S. credit rating, continuing worries about the European debt crisis and increasing stock market volatility. We continue to monitor our own portfolio of credit performance for signs that the negative economic news is driving deterioration in credit results. We have yet to see any evidence of this.  The choices we made in underwriting and managing our business through the Great Recession continue to drive strong credit performance. We made tough choices to tighten underwriting, focus on only the most resilient businesses and aggressively manage and mitigate credit loss. As a result, our internal portfolio credit metrics remain strong, with normal seasonality reemerging after a long period of cyclical improvement. Slide 9 shows credit results for our Commercial Banking businesses. Nonperforming asset rates improved across our Commercial Lending businesses as we continued to see slower flow rate into nonperforming loans. Nonperforming asset rates for the Commercial Banking segment improved in the quarter, despite an uptick in the NPA rate in our small -- excuse me, in our runoff Small Ticket Commercial Real Estate portfolio.  Charge-off rates improved in the quarter for all of our commercial businesses, with the exception of the middle market C&I business. The increased charge-off rate in C&I was driven by one sizable credit. Charge-offs for Commercial Banking are at their lowest levels since the third quarter of 2008, lower flow rate into NPL and stable property values are driving lower charge-offs. Commercial Banking Credit metrics have stabilized and improved modestly over the last 5 quarters, and we believe that the worst of the commercial credit cycle is behind us. As I just discussed for our Consumer Lending businesses, we don't yet see any evidence of recent economic headlines impacting our commercial credit results. We continue to expect some quarterly uncertainty and choppiness in our commercial charge-offs and nonperformers.  I'll close this evening on Slide 10. Strong third quarter results across our businesses demonstrate that we continue to emerge from the Great Recession in a strong position to win in the marketplace and continue to deliver shareholder value. Our Domestic Card business delivered another quarter of strong returns. The headwinds of installment loan runoff and elevated charge-offs continued to subside. The new account originations and purchase volumes are growing, and our new products, new partnerships and great customer service are winning in the marketplace.  In Consumer Banking, our Auto Finance business continued to deliver loan growth with strong credit and strong returns in the third quarter, and we continue to grow deposits and retail banking customer relationships. With the worst of the commercial credit cycle behind us, our Commercial Banking business delivered its third consecutive quarter of strong and steady profitability and continued loan growth, and commercial deposits and commercial customer relationships continue to grow. We remain on track to complete the ING Direct acquisition late in 2011 or early in 2012 and to complete the acquisition of the HSBC U.S. Card business in the second quarter of 2012. We expect that these acquisitions will deliver attractive financial results in the near term and enhance our ability to deliver sustained value over the long term to our customers, our communities and our shareholders.  With the combination of Capital One, ING Direct and the HSBC U.S. Card business, we're building a banking franchise that includes advantage to access to both sides of the balance sheet. Unlike other local and regional banks, we are not constrained by geography. Our strong national scale positions in credit cards and auto lending provides us with advantage to access resilient loans with strong returns. HSBC's Card business will expand and enhance our already advantaged position in credit cards and establish Capital One as the leader in card partnerships as well.  Our brand has achieved national scale and near universal awareness. A brand is a promise, and brand strength comes from keeping that promise year after year with great products, great value and great service. We continue to see and experience the power of advantaged local scale positions in attractive markets. Local brand scale is still pound for pound the most effective way to reach a broad base of commercial small business and consumer customers to build deep banking relationships with them. With ING Direct, we will add to our local banking abilities to become the leading direct bank customer franchise, with national reach and advantaged digital distribution capabilities in our deposit business.  Our relative scale provides us with sustainable economic advantages. For example, in our Card business, national informational scale in our proven rigorous approach to credit risk underwriting have enabled us to deliver industry-leading profitability with middle-of-the-pack credit losses through good times and bad, and we expect that with the direct distribution and digital capabilities of ING Direct, we will be able to deliver sustainable economic advantages in our banking and deposit businesses as well.  Capital One is already one of a handful of banks that's building a very large and loyal customer base. ING Direct has 7 million loyal early digital adopters with attractive demographics, and HSBC has 27 million active U.S. Credit Card accounts. So the acquisitions will strengthen and expand our combined customer base. Over time, these customer relationships are a tremendous source of value as we can expand and deepen customer relationships with new products and services. The market trends that have shaped banking and driven Capital One's strategy for the last 2 decades continue to play out, with banking going national one product at a time. The explosive growth in digital channels, capabilities and access continues to fuel these trends. With the combination of Capital One, ING Direct and HSBC U.S. Card business, we are positioned at the forefront of where banking is going.  For our shareholders, we're in an even stronger position to deliver long-term value through growth potential, strong returns and strong capital generation. While expected runoff of several of our legacy and acquired businesses will somewhat mute loan growth rates in the near term, we can deliver solid long-term growth because of our advantage to access to both of the balance sheet, and our combination of business and the unique and valuable banking franchise we've built put us in a position to continue to deliver strong returns and capital generation. We expect the strong earnings and deep access to deposits will maintain the strength of our capital and our liquidity. Coupled with our rigorous approach to risk management, we expect our balance sheet strength will sustain our proven financial resilience and our ability to deliver shareholder value through economic cycles.  With that, Gary and I will be happy to take your questions. Jeff?
Jeff Norris: Thank you, Rich. We'll now start the Q&A session. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question from Brian Foran with Nomura.
Brian Foran - Nomura Securities Co. Ltd., Research Division: You referenced normal seasonality a lot. It's been 4 years or so since we've had to deal with normal seasonality. So can you just walk us through the fine post we should look for when delinquencies start going up in the fall, when -- how much charge-offs are expected to go up in 4Q due to normal seasonality, stuff like that. And I guess in particular, it would seem to me like the proof that the delinquency runoff has been normal seasonality with the early delinquencies should fall in November, is that the right signpost to look for?
Richard D. Fairbank: Okay, Brian. So first, just talking about -- let me just talk generally about seasonality. In the Card business, which you're really asking about, the second quarter is the seasonal low point for delinquent payments. Probably because that's when income tax refunds are paid. The third quarter becomes the seasonal low point for losses, as the low delinquency from the second quarter lead the lower charge-offs in the third quarter. And just as a sidebar by the way, Auto has slightly different seasonal swings. We generally see the low point in delinquencies in the first quarter and losses in the second quarter, and Auto, of course, has a more pronounced seasonality than the Credit Card business does. I think it may be a bit of artificial science to be getting down to the month that -- I mean, we studied delinquencies. I've been doing this for 23 years, of course, and we've studied seasonality. And just when we think we've finally can exactly describe precisely its effects, it tends -- there's a fair amount of variation in it, but I think the important thing to understand is this seasonality is real in the Card business. And as we signaled last time, we expect the normal seasonality to return. And what we saw in our Card business in both the charge-off sort of low point here and the uptick in delinquency is consistent with our own seasonal trends. We also, one thing I've been a little struck by is our seasonality at Capital One is a little bit more pronounced than some card players are with respect to the seasonality of delinquencies. And so this time, for example, with our delinquency increase, if we went back and when we normalize our own delinquency performance relative to the peers who have just announced, in fact, the delta between them is just about exactly on the average of our delta versus them with respect to what you see in the third quarter. So if I pull way up, what we see at Capital One is seasonality that is exactly consistent with a -- this huge decline in -- the huge improvement in credit, basically running its course and that now, well, I don't want to -- I mean, I don't want to declare a long period of stability. Essentially, that's essentially where we are and what we see as we look out, that's essentially the word I would use. We see stability. We don't see indications of worsening, even though we read it on the paper every day. But I think our investors should be well served also to assume that the big credit improvement that have almost defied the -- pretty much defied the performance of the economy, most of that has run its course at this point.
Brian Foran - Nomura Securities Co. Ltd., Research Division: That makes sense. I mean, for what it's worth, our data suggests your seasonality is 2x the industry almost and consistently happens one month earlier. I'm not sure everyone gets that when they look at the data. I mean, I guess, my follow up, a lot of people are concerned you're stuck in a rut of negative operating leverage. Usually citing the expense numbers, but I guess, there's also some concern. Even though you have great payment volume growth, your interchange is actually coming down a little bit, suggesting some pretty big rewards numbers as well. Can you just kind of -- I mean, how do we frame the push-pull between the expense numbers being higher than people would like versus the credit is gray, you have extra earnings, now is the time to invest to produce future growth, and again, watch what benchmarks should we look to get comfort that expenses are not kind of off the rails here?
Gary L. Perlin: It's Gary. Happy to take that question from you. Just, I would note there that your description of operating leverage, of course, we have seen our revenue moving up even without some of the one-time effects. And you did describe some of the situation with respect to revenues in Card. But you really have to take a look at the overall company when you take a look at our operating expenses. A lot of the investments that we have been making are obviously, supporting not just the Card business so a lot of products, new product capabilities and so forth. But also, the continued build-out of our banking infrastructure. We're going to be a very significant bank and need to build the infrastructure that goes with it. Rich talked about some the growth that you've seen in our Auto Finance and commercial businesses and some of the investments we've been making there, geographic expansion in Auto, building out greater product capabilities for our commercial clients. We're investing across the board to find different growth opportunities and make sure that we stay very much at the forefront of where banking is going in terms of digital capacity, customer experience and so forth. And when you look at the overall revenue margin, you may not see a positive operating leverage in every single quarter. But we're convinced that the investments that we're making are going to pay off, and you'll see that in terms of good returns over time.
Operator: We'll take our next question from Mike Taiano with Sandler O'Neill.
Michael P. Taiano - Sandler O'Neill + Partners, L.P., Research Division: Just sticking with the delinquency question. I was just curious, does the Kohl's portfolio also have an impact there in terms of low rates given? You do have loss sharing agreement there. If I understand it correctly, I think your delinquencies will be on the entire portfolio, but the ultimate loss will be shared. Is that right?
Gary L. Perlin: That is correct, Mike, and it's unlikely to have a really significant amount of impact. Of course, for now, couple of quarters into that business. So quarter-over-quarter change, unlikely to be driven by that.
Michael P. Taiano - Sandler O'Neill + Partners, L.P., Research Division: And then I just had a question on capital. Gary, I don't know if I heard you right in terms of the $1.25 billion that you continue to expect to have to raise that before the HSBC deal closes. And on that topic, just it's been a while since you guys talked about capital return, and obviously, you have 2 big deals that are pending. So maybe not the right time. But just curious as to whether your views on that have changed at all given these 2 big deals that you're doing.
Gary L. Perlin: Well, I think you've got it right, Mike, that's now is not the time for us to be looking past the deals. We're very focused on doing what we need to, to get them closed and integrated, and obviously, there is some capital that we have raised and may well need to raise here for these acquisitions. But we believe that in due course, they will be highly capital generative and will be putting us in a position longer-term to be able to generate capital and find ways to make sure that gets deployed in the best interest of our shareholders which would like overtime include greater return to shareholders as well. If I could, Mike, I would just take the opportunity to indicate that we've got a lot of time here. We're a couple of quarters away from settling on HSBC. Again, as Rich described, we expect to settle on the ING Direct transaction late this year or early next. It will be the second quarter of last year for the HSBC. U.S. Card business. And so it's very early for us to change our estimate about what the additional capital might be to support that transaction. Probably worth because there a lot of moving parts and pieces, and we know what some of them are but we don't know what others are going to be. We still have another 6 months ago. So just to tick off the 3 big movers, first you've got our underlying capital generation trajectory for Capital One. As I've said, that's strong and intact. You've seen that again this quarter. Next, there's going to be the impact of ING Direct on our capital. We already know what capital issuance that will be there. We've already done the forward sale of the $2 billion of equity. And of course, we have an issuance of equity pre-agreed with ING group. Some of the elements that are in motion on the ING Direct impact is going to be purchase accounting, net of the hedge position that I described earlier. That hedge was placed around the same time as we announced our estimated capital requirement for HSBC. So you can assume that we were already counting on some the purchase accounting benefits of lower rates. And by the time we close, those could be higher, those could be lower. And so too, we could see a bit of change in the non-interest rate, purchase accounting effects and as well as the impact of any of the other balance sheet repositioning we may undertake. I talked about some of the security sales. Even if we close ING Direct, there will be some timing in other factors that will affect the capitalization of HSBC. Obviously, we'll have updated internal capital generation estimates. We'll also update our stress scenarios to see what impact that has on our capital target and position. And of course, there will be some purchase accounting impact related to HSBC. And so it will be a bit of uncertainty here over the next couple of quarters as to exactly where we land. What I would focus on with HSBC is that we believe that acquisition will be highly attractive across a wide range of outcomes, with respect to the upfront capital. Once we're past that, we'll get on to the business of generating capital going forward of all of these combined businesses.
Operator: We'll take our next question from Ryan Nash with Goldman Sachs.
Ryan M. Nash - Goldman Sachs Group Inc., Research Division: Just on the U.S. revenue margin, even after the accounting change, it looks like the revenue margin was almost 17%. I guess, can you just maybe help us understand what's driving this? It seems like what we're all reading up in the news is that competition is increasing, yet your metrics are improving. So is it something like a makeshift that's driving this? Or is the competition really not as bad as what we think?
Richard D. Fairbank: Okay, Ryan. Yes, so first of all as we stressed, but just to stress it again, the revenue, the margin is of course getting a non-sustainable boost from the impacts on the decline in the fee and finance charge reserve. And I don't know if you know that. But even when you sort of strip out those effects and those effects, we always assume those effects kind of or about coming to an end, and then they continue to have some likes to them. Even sort of beyond that effect, the performance of revenue and the revenue -- I mean, the revenue margin, specifically, in the Card business, I think has, frankly, a little bit exceeded our own expectations. And it's not coming from a makeshift. We are makeshift. Our mix is very stable in the business because as we said, Ryan, well, I think a lot of people sort of changed what they did as a result of the Great Recession and the CARD Act, we're pretty much doing what we did before and on what I feel is a more level playing field and a substantially more rational competitor set. So I have many comments I can make about the Card business, and specific characteristics of what's going on specifically in that. Maybe I'll save it for another question if people want to ask that. But generally, I think we're seeing, frankly, just a pretty strong performance of our customer base, very low attrition and revenue strength pretty much across the board in the face of strong competition.
Operator: Next, we'll hear from Chris Kotowski with Oppenheimer.
Christoph M. Kotowski - Oppenheimer & Co. Inc., Research Division: I mean, there's been a lot of attention about the regulatory pathway for the ING acquisition, and I know you're probably limited in that. Can you discuss if its significantly different for the HSBC acquisition or is that just a purchase of assets and that faces lower standards?
Gary L. Perlin: Chris, it's Gary. With respect to HSBC, that will require a regulatory application. In this case to the OCC. And that application, initial application, has already been filed, and we expect will go through the normal process there.
Christoph M. Kotowski - Oppenheimer & Co. Inc., Research Division: But it's not as rigorous in public a process as the full bank acquisition?
Gary L. Perlin: It's being treated as if we were acquiring a bank. The only difference is we're not acquiring a bank holding company. And hence, the OCC application rather than the Fed. I'd rather not speculate on how that process will go.
Operator: Next, we'll hear from Chris Brendler with Stifel, Nicolaus.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: I guess, first on Durbin and the hoopla we've seen recently on charging for debit cards. I know it's not a big revenue stream for you, but have you evaluated or had any thoughts of changing your debit card pricing and do you see this is an opportunity for Capital One to gain market share in banking?
Gary L. Perlin: Yes, Chris. Yes, I mean, just because that part of our business is the smaller part of overall Capital One, it's not -- Durbin is not as needle-moving for us. It will, though, just on a gross basis, reduce our revenue by about $70 million to $90 million. So I mean, it's not small potatoes. And what we are doing is we are doing some changes in our branch bank. We have removed no strings free checking. I guess, you could call it from our product set. But what we have done is we're going out with low monthly fees and some very reasonable hurdles to avoid them. So I think overall it's a relatively benign sort of change that we've done at Capital One, and I think early indications are, I think, positive customer reaction I think on a relative basis. I think partly to your other point, I think there are many trends in the marketplace that I think argue for an acceleration of sort of the move to direct banking and some of these things. So a company like ING that always represents sort of the trade-off between better deals but yet got the switching costs associated with all the convenience of Local Banking. I think that in addition to the sort of devastating macro trend of digital revolution, the mobile revolution, some of the payment revolutions going on. I would add to that though kind of to where I think your point is going that the big noise about just how expensive banking is becoming for folks probably does play into the hands of the sort of low-cost players.
Christopher Brendler - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then a follow up, if you could just talk about deposit growth you're seeing in the Commercial Banking side. Deposit growth has been good as well, but you're really starting to pick up some steam in deposit growth? And I was wondering if you could give us any color on some of the drivers there and whether or not you think it's sustainable, just given how I think -- a lot of it is macro based but maybe it's also Capital One winning some market share.
Gary L. Perlin: I mean, I think sort of the things beyond the strong macro effect is I think is the result of a real focus at Capital One on primary banking relationships and building. So what we've done, first of all, is we are -- and so much of the growth that you see comes from really focusing on the identified areas where there are a sustainable competitive advantages to be had and through the power of deep customer relationships. Now I know in some ways that's kind of a truism for what people pursue in banking. But we are very, very focused on this. So there's a lot of emphasis in and investment in deeper treasury management relationships. A lot of emphasis on certain commercial businesses that tend to be a deposit rich and those have gone very well, as well as some of our investment in specialty banking segments. So what you see though is not an anomaly. What you see is -- I think just about everything you see in commercial. In fact, we kind of look at, and I think some of the growth metrics, about 2/3 of the growth metrics that you see in commercial if you normalize for some of the one-time effects that happened a year ago, kind of 2/3 of the growth metrics that you see are really sustainable across a number of metrics. And it really reflects the commercial business that is not doing anything flashy. It's really just doing a lot of things well.
Operator: We'll take our next question from Sanjay Sakhrani with KBW.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: My 2 questions up front. I just want to make sure I understood the change in the recovery expectations for non-principal balances. I guess, how does an improvement in recovery expectations actually take the delinquency rate up and just how does that tie up into charge-offs in the future? And just so I understand how that affects suppression on a go-forward basis? Suppression will move up with credit eroding. I would assume so the revenue yield, although equal should not feel the impact of suppression unless you see an associated degradation in credit quality. Am I thinking about it correctly? And then just secondarily, could you just talk about the Rep and Warranty increase on the liability and kind of what was driving that?
Gary L. Perlin: Sanjay, I think you've asked the questions on a lot of people's minds. So I'll try and him give a pretty full answer, but not going to the gory details as much as I'd love to on the suppression. So let's take the first question, which is how can we be, giving the good news of more collectible fees and finance charges and yet see an increase in the delinquency rate. So the first thing I'd say is what's been happening with the recoveries. Well, as you know, recoveries of charged-off finance charge and fee balances as with the recoveries of principal balances that were charged off, it's been high for quite a while. And we expect that they'll remain that way for 3 reasons: First, we've got a high inventory of charged-off, in this case, non-principal balances, and it's unusually high because we're in the aftermath of the Great Recession so as things have improved very dramatically, the inventory of charge-offs is pretty high on which we can recover. Secondly, the cyclical credit improvement is raising. You expected collectibility of charges and fees. And finally, and this is more of a structural change, we now have a structurally lower level of finance charges and fees. So if recoveries have remained pretty strong and high, what made things change this quarter? What's really changed is our assessment that almost all of these relatively high level of recoveries are coming from previously charged-off non-principal balances. And that's what causes the release in our finance charge and fee reserve. It's based on existing non-principal balances, and we called it out because the proportional impact at this point was pretty high since we had already gotten to a pretty low finance charge and fee reserve balance. So an $85 million release is a little more than half of what the finance charge and fee reserve balance was. Okay. So why would this cause an uptick in the delinquency rate? It's pretty mechanical. The short answer is, well, we now expect that we will collect more. The increase in what we expect to collect is being added to today's delinquent balances. So what it effectively means is that we're going to be increasing the numerator in the delinquency ratio, and we're going to be increasing the denominator. But because the numerator is much smaller, the addition of what we now expect to collect, which is in the delinquency buckets, goes up. So you have this one-time significant effect on the delinquency rate. It's always in the delinquency rate, this is why it's having a particularly big impact at this point. Now going forward, what you said, Sanjay, is very much the case. We're down to a relatively low level of finance charge and fee reserve somewhere in the $60 million to $70 million range. We think that will be pretty stable. So suppression on a quarterly basis is probably going to reflect what's happening to the level of reversals. That will be a lot lower than it has been historically because we're charging fewer finance charges and fees, but it should be pretty stable. If that is the case, then going forward what we'd expect is the suppression levels we've been seeing for the last year or so up until this quarter is probably what we'll see over the next several quarters, assuming that credit is more or less in line with what we expect. And to answer your question about whether this has any mechanical impact on the charge-off rate, the answer there is no. It only affected the delinquency rate. Hopefully I made it clear why.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: Gary, with the Rep and Warranty?
Gary L. Perlin: Rep and Warranty. So the increase in the reserve, Sanjay, which is the probable and estimable, it's driven again largely by the level of activity that we're seeing. We did have one claim paid, which affected the expense. The relatively 2/3 of the expense this quarter came from payment of a claim, rather than the increase in the reserve. And the small increase in the reserve is effectively -- just a reflection as we kind of fill out all the cells in the spreadsheet. If we see increased activity amongst some on uninsured investors particularly in the non-GSE, non-insured securitization or what we call our everything else segment. Even small changes in activity, we'll try and pick them up and reflect them in the reserve. If you take a look at what's going on in the environment around us as well, heightened governmental and regulatory scrutiny and so forth, that's why you'll see a proportionally larger increase in what we consider to be the reasonably possible range, which doesn't meet, of course, the high standard of probable and estimable in the reserves. So I think it's a reflection of both what we have seen and what we're seeing more broadly and what would over the long run and just trying to be prudent around that.
Operator: Next we'll hear from Betsy Graseck with Morgan Stanley.
Betsy Graseck - Morgan Stanley, Research Division: I just wanted to make sure I understood the impact on the yield as you go into the next quarter. Based on the one-timer that you did, this quarter was $85 million release. That should come out of our numbers. Is that correct?
Gary L. Perlin: That's correct, Betsy. And if you go back to that conversation that Rich was having with Crystal a while ago, the impact of the finance charge and fee reserve release this quarter, think of it as something 50 to 60 basis points of margin in the Card business, and that should be a one-timer, yes.
Betsy Graseck - Morgan Stanley, Research Division: Okay. And then separately, I just wanted to get a sense as to what your strategic plans are for the consumer mortgage business. I've noted some fairly unique go-to-market strategies and wanted to understand what's your sure gain appetite is there.
Gary L. Perlin: So Betsy, in the mortgage business, our primary focus has been really absolutely dealing with some of the troubled mortgages that came through our acquisitions. And so as you can imagine, there's a big investment of infrastructure and all the things that go into that, and we're making great progress on that. And I'm very pleased with that progress. Along the way, and of course, we've been thinking about the mortgage business for 23 years, and it's notable in its absence from our national strategy as we have built national capabilities in some other businesses, but not been there. I think on a national basis, the mortgage business, with one exception, which I'll tell you about in second, I think it still has a number of structural issues that make it not so attractive for us. The 2 places that we feel are advantaged mortgage origination business opportunities are, one on a national basis and one local. The national opportunity is really relates to what ING Direct, in fact, has been doing with their very, I think, very well-run national direct mortgage business. And we are impressed with what we see and we plan to continue investing in that business. The other is that we continue to believe, like almost everybody in banking does, that regular old, good old-fashioned in-footprint mortgage origination if not done in unnatural ways continue -- can be a good source of moderate growth in the business. So all that adds up to a moderate mortgage origination business over time. It's not going to scare the big players. But it has a role in our future. But it's going to be relatively more modest versus some of the really huge businesses that we have, Betsy.
Operator: Next, we'll hear from Craig Maurer with CLSA.
Craig J. Maurer - Credit Agricole Securities (USA) Inc., Research Division: I want to ask you a couple of questions on the Card business. One, actual account growth was very strong as you alluded to and we've seen that from a couple of other players. Has there been a dramatic increase in demand for accounts? Is there something that the Durbin Amendment is driving as debit becomes more expensive to use? I'm just curious what's going on there. And secondly, has there been any change to the run rates in October in terms of purchase volume?
Richard D. Fairbank: Okay. Craig, so first of all, with respect to the Durbin effect, I think if there were a significant effect, we probably wouldn't see it yet. If we should be seeing it yet, I don't think we can with the naked eye. I mean, we'll continue to analyze for these effects. But I would -- my expectation is that the Durbin effect on causing a switch between Debit and Credit Cards is -- I'm still going to probably the under on how the big that effect is going to be. I've always been struck at how consumers use different parts of their brain for how they think about what they use debit cards for and what they use credit cards for. Furthermore, there are many, many banks out there that are not charging directly for debit use. Hopefully, maybe we'll find some upside surprise in that. But we're not counting on it. Demand. I think our consumer demand, I'm glad you asked that point because while if you look at revolving debt growth, on a year-over-year basis, it's still negative, but it's trying to get towards 0. But the thing is I think that if you look at the last couple of quarters, effectively on a seasonality adjusted basis, I think we're finally to the point where consumer revolving debt in the nation is basically flat. And that's a big achievement relative to where it was. And so I think the consumer is kind of coming back slowly but surely here. The most important thing by far with respect to new account origination for us has really been not the environment but frankly the traction that we are getting on our own programs. All during the Great Recession, while we were dialing back on our originations, we were not dialing it back at all on our testing. And this location creates, the flip side of that is opportunity, and so with all the seeds that we have planted here over the last couple of years, we found some very promising growth opportunities that every month they're getting a little more traction than they had the month before. So if you followed my comments to the marketplace for most of this year, I've been talking with quite a bit of passion about the feel that I have just meeting and spending all the time I do in the Card business. The feeling I have about the growing traction in the Card business. And as I've said a number of times, I think that traction is greater than you're seeing in the metrics. Because if you want to originate cards with big metric movements, do big balance transfer plays. That's instant gratification, instant volumes, immediately. One minus that is pretty much what we're doing, and so we're doing all these stuff that builds slowly and builds franchises over time. But I'm pretty excited about the traction that we're getting in the Card business. As I often say it, Craig, I think in terms of market share growth. And I think I really like our chances for market share growth. And if the consumer corporates a little bit here, kind of like our chances for some real growth.
Richard D. Fairbank: Before we get into the next question, it's not our practice to comment on sort of mid-month metrics like purchase volume trend. So we'll take the next question.
Operator: Moving forward, we'll hear from Bob Napoli with William Blair.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: The auto Finance business, Rich, I mean you've seen the Auto Finance cycles many times and there are cycles in Auto Finance can be pretty pronounced. You're growing that business pretty quickly. There seems to be more competition moving in. What are your thoughts on how big you want that business to be? What is the mix of what are you subprime versus prime? How comfortable are you with that asset class, which has been pretty volatile becoming a bigger part of your balance sheet?
Richard D. Fairbank: Well, Bob, one thing that I really want to not invest in is businesses that most of the time do pretty well. And if you just try to be smart about timing and avoid just getting whacked, you can kind of do okay. I think that's a fool's errand in the banking business, and frankly, a lot of banks and a lot of bankers over many years have been on the errand. So our pursuit of the Auto business is not driven by a belief that most of the time you can make money and just hang on and the rest of the time and try to be smart about timing. We really like the structural characteristics of this business for us. So where's the leverage in this business? First of all, this is one of the businesses on little cat feet that has been a macro trend that I don't think people have focused on, but we entered it in this business in 1998 for this reason, and that is that this would be a fragmented business that would become national. It is on its course to doing that, Bob, but it still has quite a journey to have. So a business that's a fairly low growth business has a lot of opportunity for very successful national players because that's a macro trend in itself. Secondly, the leverage, especially in any area other than the absolute highest part of super prime, there is tremendous leverage in credit and rigorous information-based strategies and the scale that comes with that, which we've spent now 13 years building. And I think that's really paying off. Another aspect to this business I think is profoundly important and something that we -- is that we have certainly come to appreciate over the years of building this business. It is deeply about customer relationships. In this case, the relationships with the dealers. And I know there's kind of a perception out there of dealers just holding auctions and all that stuff. But dealers care about the value added services and whether you're there in the downturns as well. So basically, we've had great traction and showed up in on J.D. Power metrics in terms of really improving dealer relationships. So what's happened is when the Great Recession came along and you may remember that we got -- we had some pretty challenging credit metrics right, as the Great Recession began. Auto is kind of like, in some sense the canary in the coal mine, I think, in terms of early harbinger of credit. Additionally, we made a few mistakes the last time around, I think, in some of the expansions that we did. What we're doing now is a lot of the growth that's coming is doing the same thing we've been doing in some geographies and extending it to others. This is a business that I think can be, overtime, quite a bit bigger than it is now. Almost all of the net growth will be in the upper part of the market because we already have a pretty sizable position in the subprime space. So I'm pretty bullish about it, and its many years in the making, and it's here to stay.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Just a follow up on the Commercial Finance business, are you adjusting a strategy? I think you've hired a team from the senior executive that used to be with CapitalSource? And so you're middle market strategy, are you adjusting that and looking at accelerating the growth of that business with the people you're bringing in?
Gary L. Perlin: Yes, we are. I mean, I don't think relative to the size of Capital One that it's going to be massively sort of moving the metrics. But I do want to say, I want to pull up and talk about the commercial business, and that is there's a lot of vanilla commercial business out there that has a rough time through cycles with all the oversupply that exists in banking. And I don't think next downturn is going to be different from that. Where are focusing more and more is on the differentiated part of commercial banking, and I think that comes from very deep primary banking relationships that are driven by treasury management relationships and things like that and by very expertise-driven specialty businesses. And if you think about expertise-based credit management, I mean, in a sense that's what we've been building at Capital One, yes, mostly on the consumer side, but what we're doing still at a relatively small scale but building out sort of one executive at a time, focusing very, very much on great talent and very rigorous credit management, specialized commercial business that I think is really much more differentiated from the vanilla thing that gets so whacked in the credit cycle.
Operator: We'll move on to Ken Bruce with Bank of America Merrill Lynch.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Rich, I share your optimism around the consumer as it relates to the Credit Card product. I would like you to maybe elaborate a little bit on some points you made earlier. You saw some pretty impressive growth on Card accounts. I think you've mentioned 2x the 2010 third quarter pace. I'm wondering if you can give us a sense of where that growth is coming from, if it's in the more transactor-based products or in the more revolver-based products and how you're thinking about splitting the 2? And then I guess, maybe any observations you could offer around private label as an area for growth? Citibank had mentioned that they have seen a significant change in consumer behavior around the private label product and how you're thinking about that, please? And then a follow up as well.
Richard D. Fairbank: Thank you, Ken. So account growth is -- yes, first of all, given that we are sort of avoiding the really balanced heavy, balanced transfer type of business, almost definitionally, we're going to be seeing a lot more progress on account origination than we're going to be on kind of balance origination in that sense. And while we and no other player really gives out sort of account origination detail on an apples-to-apples basis and all that. Just suffice it to say that that's exactly the case. We're getting quite a bit more traction in account origination, and this is the beginning of the other good metrics that flow from originating these franchise-based accounts. From a mixed point of view, the mix is so strikingly similar to what it has been. If you -- I mean, we're investing a lot at the -- you can see on TV, we're investing a lot in the -- right at the top of the market, right against the leading transactor players and getting good traction with respect to account growth there. And we are also doing our normal strategy we've done through 23 years to kind of cherry pick within the revolver market, where the best opportunities are with respect to revenue and risk, and that continues to have account growth in a very comparable mix. With respect to the private label business, the private label business, I think, for a long time people sort of thought the private label business was going to get supplanted by the co-brand business. I think debt has been greatly -- its demise has been greatly exaggerated. In fact, to the contrary, there's really more of a macro trend back in the other direction, and I think retailers are finding that a well-run private label business is something that has a lot of great value and ability to really deepen customer loyalty. I'm not sure what city he's referring to, the significant change in the consumer behavior. I haven't seen any like step changes in any of the metrics. The credit risk in this business has improved pretty much in lockstep with all the improvements that we've seen in other Card businesses. But we're going to focus on in the private label business, and yes, it does represent a significant growth opportunity for us. It's still to be selective though and go after the partners who: one, have a very good sound business model in their own right; 2, are very focused on -- that they have an objective function, and this is a really important point. Objective function that the Credit Card program is not about how much money do you make, how many this or that. The Credit Card program is about building deep customer loyalty. And when they have that objective, we want to be there as their partner; and third, we're going to be very sensitive to the sort of auction price nature at how some of these portfolios move, and we're going to stay disciplined.
Operator: Sir, we'll hear from John Stilmar with SunTrust.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Gary and Rich, I don't know if this is a question for you. But you -- to your accounting when you spoken about the stability of recoveries on previously charged-off accounts, I think we reached the peak in charge-offs in 2010, when should we reach the peak in recoveries, and should the slope of recoveries follow some sort of time pattern with what gross charge-offs do?
Gary L. Perlin: Kind of particularly focused on recoveries of finance charges and fees?
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: No, sir. We're focusing on -- well I mean just recoveries in general. Recoveries of principle charge-offs. I thought you corresponded to the same trend and if I'm incorrect there, maybe you can articulate why it wouldn't be. I assume it's the same trend with the recovering fees and finance charges because your coverage are so strong now.
Gary L. Perlin: It is. It's strong for some the reasons I described, which again, the speed of the improvements in credit has meant that there's a large quantum of charged-off debt from the charge off the last couple of years. And when we recover against that, we obviously have a lower quantum today. It is exaggerated in the fee and finance charge area because relatively speaking, you've seen that we've moved, our revenue model has gone more towards net interest margin away from some of the non-interest margin. So there's a exaggerated impact of heavy recoveries against a low amount of kind of forward-looking finance charges and fees. Again, exactly when that settles out, again, we've seen pretty steady recoveries now for a while. But I think it's hard to know exactly when that's going to change. I think that may reflect more of the macro credit trends and statistics we see. So it's kind of hard to call that particular top until we see how everything else plays out.
Richard D. Fairbank: But I think, John, the point even through the last quarter, our recovery liquidation rates were still improving. And so, look, I mean, again we kind of have the view that in general, the great improvement, the Great Recession, the great improvement here is probably means the recoveries pretty much would be stabilizing out. I'm not sure we've actually quite seen that effect yet, but we would expect it.
John Stilmar - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then my follow-up question, I was wondering if you could share with us any deeper expectations for both business performance, and I guess, with all the concern over credit as we're return to seasonality. What we should be thinking about with regards to the HSBC portfolio. I know you made some comments about double-digit accretion relative to consensus estimates. But any sort of details around that assumption through how we should be thinking about credit cost and potentially margins for HSBC would be greatly appreciated.
Richard D. Fairbank: Yes. I think -- it's this funny thing, the HSBC portfolio is pretty darn similar to our portfolio even though much that's in it is different. But let me say what I'm saying. First of all, it's sort of mixed along the credit spectrum. It is similar in that -- in the sense that it has so much of people I was thinking about the subprime branded stuff that HSBC does. It has a massive prime and top of the market business and some of these partnership stuff. And so bringing it on, we got similar mix to ours. They have had credit policies that are fairly similar to ours. They have had a conservatism about credit lines and pricing that's very similar to ours, which by the way is one of the reasons we did the deal because when someone has had appropriate conservatism on pricing and lines, you can deal with it. When horses are out of the barn, it's really hard to get them back, and that's why we walked away from a number of other portfolios in the past. Revenue margins in HSBC are strong and they're strong for Capital One. So I think things would look good there. The one thing I do want to flag is that even at the same time that we're creating a quite a bit of value through the synergies and the things that we talked about when we announced the deal, I do want to say there were some parts of the HSBC business that are, for them, already run-off portfolios and maybe even some -- when we really get inside, there might be some other parts we would add to that in terms of what's a runoff. And so we will be initiating sort of this annoying runoff portfolio kind of headwind. Even at the same time, I think that value creation and the growth of value creation will continue in a really sizable way with respect to this deal.
Operator: We'll hear next from David Hochstim with Buckingham Research.
David S. Hochstim - Buckingham Research Group, Inc.: I wonder if you just explain on -- talking about the Auto business in terms of the growth and how much has been attributable to the geographic expansion? And has there been some change in types of loans? You're making more used car loans in the last year, longer-terms, rates change, I guess, also a question about competitive dynamics.
Richard D. Fairbank: So, David, the growth is essentially coming in 2 ways: One is more up market, if you will, and more geographical expansion of exactly what we do. And much of the geographical expansion is in fact more up markets expansion, and in a lot of cases, with dealers that we were already there on a subprime side. So the thing that -- what makes me -- where I feel very confident about growth plays is when you have something that has already been validated and tested, and you're rolling that out. Now classically for Capital One that means test cells, and of course, that's what we do, we test everything and roll it out. In this particular case, what we're rolling out geographically and with respect to doing more of in the upmarket space is things we've been doing for an extended period of time with very proven business and very relationship-focused model. So that's why I speak with quite a bit of confidence about both the ability to continue to generate some pretty substantial origination numbers, but also very confident with respect to the performance of these. In terms of what's happening in the industry, competition is definitely increasing in the Auto business. There has been -- there is some pressure to extend terms in terms of length of the loans a little bit of that, not much at all yet on the loan-to-value, but the thing that we have found is being very, holding very firm to what we believe are the right credit standards. We found that there's continuing, a lot of continuing opportunity. We are -- but in terms of how much growth we get in the future, it's going to be the intersection of a very proven expansion play that we have and the absolutely inevitable increase in pressure competitively in the auto industry, and inevitably some moves by some players to worsen credit. Net-net, it's still a pretty good environment to compete, but we're going to watch very carefully.
David S. Hochstim - Buckingham Research Group, Inc.: Could you give us some idea of how much of the number dealers you're working with has increased over the last 12 months and has a mix of indirect and direct [indiscernible] change much?
Gary L. Perlin: Well, first of all, it's -- while we are, by our tally, the leading direct player in the nation, our direct business is swamped by the indirect business. Because buying a car at a dealership is really a kind of a category killer, a good way to get financing. And so as you know, David, we've done everything we can to build the direct business there, and it's a nice, relatively small business. We will both grow the direct business and the indirect business. But if I were to predict, you're not going to see a massive, devastating macro trend of direct taking over indirect anytime soon. You asked about used versus new. This is same kind of mix here that we've had in the past. Because again were mostly doing the same thing that we did before, it's just that there are more growth opportunity at the top end of the credit spectrum where our share has been less and we're growing it.
Operator: We'll take our next question from Scott Valentin with FBR.
Scott Valentin - FBR Capital Markets & Co., Research Division: Just wanted to revisit the purchase transaction volume. Historically, I think I just focused on driving transactors for a while, but this the first time I think it's really outperformed relative to other Visa and MasterCard issuing peers. I'm just wondering, is it more the recent vintages are performing better or is it just people are pulling their cards out Capital One has gotten in top of the wallet through marketing?.
Gary L. Perlin: Sorry, what was the first of your condition? Is it...
Scott Valentin - FBR Capital Markets & Co., Research Division: Just that which vintages have performed? Is it more recent vintages that are now transacting more versus historical or is it more across the entire spectrum but through marketing you guys have moved top of wallet?
Gary L. Perlin: Yes, so, first of all, I think for the industry, there has been pretty good purchase volume growth. As you know. But it is the case that for the third quarter in a row, Capital One has had the highest purchase volume growth. Although for some players who have huge purchase volume numbers, I mean, we are coming off of a bit of a lower base, so I think we have a bit of an easier job to do in a sense. The success is coming, Scott, from 2 things. One is we're investing very heavily as frankly are Chase and AMEX in particular in the real top of the market heavy spender. And these are very expensive accounts to get. As everybody knows, when you get them, they tend to have great performance and very heavy spending patterns and they're long annuities. Anyway, you're seeing the result of a lot of hard investment by Capital One. Secondly, though, this metric is actually something I would point out as in this thing where I keep saying, look, I see a lot of traction at Capital One. Trust me, you'll see it in the metrics some day. This booking of accounts that are not balanced transfer based, but really that built their balances over time, this is a manifestation of them starting to build their balances over time. So you do have some of that effect going on as well. But still, the biggest thing for all of us in the industry is not really anything we're doing individually here. It's the return of spending that is going on by consumers. But credit cards are getting more than their share. We are actually gaining share and purchase volume faster than retail sales are gaining because credit cards tend to be more -- it's the non-discretionary items tend to be purchased with a [Audio Gap]  massive reduction in non-discretionary items and spend a bit more on that you're seeing the share gains there.
Scott Valentin - FBR Capital Markets & Co., Research Division: That's helpful. As a quick follow up, in the Commercial Banking segment, the loan growth was very strong this quarter. You called out I think C&I and commercial real estate, is there any regional area? You mentioned New York is biggest part of the franchise but in terms of growth, are you seeing any regional differences?
Gary L. Perlin: Yes. I mean, one of the best ways to over-stereotype what we do. And once I tell you that, I'd say that's way too stereotyped. Why would you oversimplify like that? But in a sense, most of the CRE is in the north and most of the C&I is in the South. Okay? So when you think about growth there, New York, the -- so let's talk C&I in many ways, it's really a story about New York. I mean, New York has certainly weathered the Great Recession quite well, and has seen steady signs of recovery. And on most financial metrics from a commercial point of view, New York has been, not a great performer but a better performer than a lot of the other markets out there. And so for quite a number of months, we've seen vacancy rates dropping and rental rates were getting some traction, and property value strengthening and more activity by sponsors and so on. I just do want to caution though that the New York economy certainly, I think, it's a plausible argument that it's going to have some challenges here with respect to all the financial institutions and the job-announced layoffs and stuff like that. But we're still cautious about that. And the other thing I want to say is with respect to CRE, we're very -- a lot of our stuff is with respect to the multi-family part, which is a bit of a specialty business and one that's done quite well under recession. With respect to C&I, you're talking more in the south. For us, this is and this is headlined by the growth in our energy business, which, of course, is kind of booming at this point. But that's an oversimplification, but it'll work for now.
Operator: And we'll take our last question from Don Fandetti with Citi.
Donald Fandetti - Citigroup Inc, Research Division: Rich, you talked about loan growth in Cards. So I just want to follow up. I mean, as I look out to '12, do you really think that there's going to be in the industry any meaningful, if any, real card loan growth? It just seems like consumer sentiment is still pretty soft, GDP numbers are not great and you have what appears to be sort of spending growth rate peaking. I was just curious if you think it's just going to be kind of the main players fighting over market share or there's actual real growth in this business in '12?
Gary L. Perlin: The hard work of consumer demand in the Card business measured by revolving debt to even get back to 0, I think, it feels exhausted just trying to get back to 0. So I think -- I'm in your camp. If I had to guess, I think this business is a GDP-type of business or maybe even a little less than that in the near term. I think I see little to suggest that this thing would break away from the pack very much. I think the consumer de-levering has been absolutely real. And by the way, it's been a really good thing. We should all be careful what we wish for from a bank in the sense of the de-levering has had a lot of benefits with respect to credit quality. But there are parts of the market that are not returning. The Credit Card market as a whole is smaller as a result of the regulations that are there. I mean, that's something that still has to run its course with respect to the outstandings. The consumer, well, maybe their de-leveraging is reaching a stable point. I certainly don't see any evidence that it's returning. I subscribe to your view. We should view this as a low growth business from an outstandings point of view. Where's there opportunity? There's opportunity to gain share, there's opportunity -- and there's a lot of opportunity to create real value though and real growth in value through the fact that at times like this, if you originate well, you can get sometimes spectacular credit performance. You can get a chance to build these annuities that last a long, long time. And so I would characterize of the card market right now competitively -- while you look at the mail volume, mail volume is returning dangerously close to sort of where it used to be. And by the way, that doesn't even show that a lot of the marketing has moved to the Internet. So in a way, it understates the return of marketing. I do think it's a -- while our competitors are being very tough, at least they're being rational, and I think there's a lot of value, a lot of opportunity to create real value. And my last thing I would leave with you is, here's the acid test as I look at it: The total net present value that we feel that we estimate that we're originating and we look at that every year the kind of annual tranche of originations, how much total NPV is being created, the origination vintage of this year, I think, is going to give a run for its money to some of our best years that we've had in the last decade. It's just going to show up a little bit different in terms of its timing and then what and where in the P&L you'll see that benefit.
Operator: I'm sorry, sir, that is all the questions we have. I'd like to turn the conference over to Mr. Norris.
Jeff Norris: Well thank you, Rica, and thanks, everybody, for joining us on the conference call tonight. Thank you for your continuing interest in Capital One, and as always, the Investor Relations team will be here this evening to answer any further questions you might have. Have a great evening.
Operator: And that does conclude today's conference. We thank you for your participation. You may now disconnect.